Operator: Good day, and welcome to the Veeco Instruments Inc. Corporate Hosted Q1 2020 Earnings Call. At this time, I'd like to turn the conference over to Mr. Anthony Bencivenga, Head of Investor Relations. Please go ahead, sir.
Anthony Bencivenga: Thank you, and good afternoon, everyone. Joining me on the call today are Bill Miller, Veeco's Chief Executive Officer; and John Kiernan, our Chief Financial Officer. Today's earnings release is available on the Veeco website. Please note that we have prepared a slide presentation to accompany today's webcast. We encourage you to follow along with the slides on veeco.com. This call is being recorded by Veeco Instruments and is copyrighted material. It cannot be recorded or rebroadcast without Veeco's expressed permission. Your participation implies consent to our recording. To the extent that this call discusses expectations about market conditions, market acceptance and future sales of the company's products, future disclosures, future earnings expectations or otherwise make statements about the future, such statements are forward-looking and are subject to a number of risks and uncertainties and that could cause actual results to differ materially from the statements made, including as a result of the COVID-19 pandemic. These factors are discussed in the business description, management's discussion and analysis and Risk Factors sections of the company's report on Form 10-K and annual report to shareholders and in our subsequent quarterly reports on Form 10-Q current reports on Form 8-K and press releases. Veeco does not undertake any obligation to update any forward-looking statements including those made on this call, to reflect future events or circumstances after the date of such statements. During this call, management may address non-GAAP financial measures, information regarding such non-GAAP financial measures, including reconciliation to GAAP measures of performance, is available on our website. And with that, I will turn the call over to Bill for his opening remarks.
William Miller: Thank you, Anthony. Good afternoon, everyone, and thank you for joining the call. To echo some of our industry peers, these are unprecedented times. The effects of the COVID-19 pandemic are ongoing fluid and difficult to predict. I would like to take a few minutes to discuss the impact of COVID-19 has had on Veeco and the steps we have taken to successfully maintain business operations and manage the business through this crisis as it continues to unfold. I will provide some color on our Q1 performance, update you on our markets and then hand it over to John for a financial update. I would like to begin by recognizing the Veeco team for their dedication. It's safe to say that all Veeco employees have been impacted in some way, but have adopted to enable us to perform well in the first quarter. And they continue to deliver overcoming unforeseen disruptions while working from home, Veeco facilities or customer sites. This is a team I am both impressed with and proud to be a part of. Due to disruptions related to various governmental measures implemented to contain the virus in mid-March, we withdrew our financial guidance for the first quarter. Shortly thereafter, as an essential business supporting critical infrastructure, we maintained operations at all our manufacturing facilities with minimal disruptions. Over the course of the pandemic, we have taken steps to keep our employees safe and minimize the spread of the virus, while continuing to serve our customers. Our COVID-19 pledge, developed to keep our employees healthy, is posted in all Veeco facilities and outlines behaviors we expect from everyone on site. These behaviors include social distancing, good hygiene practices, the use of personal protective equipment and a directive that employees who can work from home are required to do so. In our manufacturing environment, we have included further measures like temperature screening, additional disinfecting and separating shifts to minimize employee overlap in gowning areas. We also implemented innovative workarounds, such as virtual customer demos and factory acceptances, where customers can review data and performance of their system in our factory via live video. In our customer service organization, working in our customers' fab is frequently required. So our service engineers do so with proper precautions. However, when possible, they perform service remotely to resolve customer issues. In our supply chain, we maintain continuity of supply by frequent and ongoing interactions with all our suppliers. We proactively identified supply gaps and resourced a number of components, maintaining our customer commitments, and we continue to monitor the financial health of our supply chain. While these steps have been effective so far, there could be additional challenges ahead that may impact either our operations or those of our customers as a result of the ongoing pandemic. While no one can predict the future, our team is experienced at managing through industry cycles. In addition, when we look at our cash balance, both the level and quality of our backlog and the recent expense reductions we implemented, we are confident in our ability to successfully manage through the pandemic. Switching gears away from our COVID-19 response and on to Q1 results. Q1 results were driven by strength in our data storage business, and revenue came in at $105 million. While we withdrew our guidance for the quarter due to potential COVID-19 disruptions, we were fortunate to keep those disruptions to a minimum. With improved product mix driving gross margins to 45% and reducing operating expenses, we were able to drive solid profitability of $13 million in non-GAAP operating income, resulting in $0.22 of non-GAAP earnings per diluted share. This marks our third consecutive quarter of non-GAAP profitability and our most profitable quarter in several years. The first phase of our transformation, which includes shifting away from low gross margin products and reducing expenses is reading out in our P&L, as higher operating leverage. From a balance-sheet perspective, we managed cash well during the quarter and ended with $242 million in cash and short-term investments. I mentioned our team's ability to manage tactically through the pandemic, but I also want to spend a minute providing an update on the markets we serve and our technology, in the context of the coronavirus. We believe in the long-term health of the technology industry and remain excited about what the future holds for Veeco. We do, however, have concerns about the economic effects of COVID-19 on the broader electronics industry. While we do have exposure to certain customers that may be impacted, we have diverse product lines serving markets that are expected to perform well. Such as data storage, 5G RF and leading-edge front end semiconductor. We are hopeful this diversity will insulate us to some extent and the adverse effects of the pandemic. Looking at some of the markets we serve. Within our scientific and industrial market, data storage is strong, bolstered by the increasing importance of cloud storage and the work-from-home environment. Our customers rely on our ion beam technology to improve their read/write heads and increase aerial density. This drives performance in our high capacity drives used in cloud and data-center applications. We expect this market to continue to stay strong for us, at least through 2020, but we continue to monitor the impact of COVID-19 on demand. Recent sales activity in front-end semiconductor was driven by customers ramping their current nodes like seven and five nanometer. Looking ahead, we continue to work with our customers on their next nodes with our laser annealing technology. In the EUV market, according to ASML's shipment plans, customers appear to be moving forward with their leading edge EUV lithography plans, which drives the requirements for mask blank capacity. In compound semiconductor markets, we are not seeing significant traction of 3D sensing or laser diodes, but we are encouraged with recent GaN MOCVD order activity for power electronics applications. Our advanced packaging, MEMS and RF filter market was weak in Q1, and the timing of recovery is uncertain given recent smartphone softness. Nevertheless, we are encouraged by interaction with our advanced packaging and RF customers. Applications such as high-performance computing and 5G are driving this activity, which we believe will eventually lead to orders. We are confident our advanced packaging lithography and wet etch and clean systems are an ideal fit for our customers' current and future requirements. These are uncertain times, but we are continuing along our transformation path to strengthen the company, despite the challenges facing the global economy, electronics industry and our customers. Veeco's 2-phase transformation is well under way. You will recall, Phase one is about returning to profitability and rationalizing our product lines, and Phase two is driving growth. Phase one is largely complete and has proven to be effective. We exited low gross margin commodity businesses, which improved our product mix and overall gross margin. We flattened the organization, creating better accountability and reduced expenses and we recently made a step toward rationalizing our product lines. Last quarter, we indicated our intention to divest the noncore product. After the end of the quarter, we closed the transaction moving the associated assets and employees to a third party. This is a win-win for all involved and demonstrates our commitment to streamlining the company. Phase two of our transformation consists of growing in our current markets such as front-end semiconductor, advanced packaging and data storage. It also includes penetrating markets with new applications of our technology in front-end semiconductor and compound semiconductor. We are committed to this growth plan. A symbol of this commitment is our new logo and tag line, you may have noticed in the earnings presentation. Although this may not seem like the best time to launch our new Veeco identity, we felt that it was important to continue to move forward and ensure our customers, investors and employees that we are a united, resilient and focused company that believes in the great opportunities ahead of us. The change in our logo signifies our commitment to our transformation on the foundation of our success in helping customers achieve profitable scale. Our new tag line, making a material difference, stands for improving performance, ensuring quality and delivery value to our customers and our commitment to building a stronger Veeco that serves all of our stakeholders. Looking ahead to our 2020 priorities. In the near term, we are effectively dealing with the uncertainties of a global pandemic by keeping our employees safe and building resiliency into our operations. At the same time, we continue to look to our future. Our strategy is still intact. We are focused on prioritizing our R&D spend on the projects that are strategically and financially most impactful to the company and strengthening our foundational businesses. We are working to extend our core technologies into the front-end semiconductor and compound semiconductor markets, and we are starting to see the operating leverage benefits of actions taken to improve gross margin and reduce our expenses. With that, I'll turn the call over to John for a review of the financials, and then we'll take your questions.
John Kiernan: Thanks, Bill, and good afternoon, everyone. Today, I will summarize our revenue by market and geography, cover our P&L, balance sheet and cash flow and then take you through our outlook. I will discuss non-GAAP financial data and would encourage you to refer to our reconciliation between GAAP and non-GAAP results, which you can find in our press release or at the end of the quarterly earnings presentation. Revenue for the quarter was $105 million, which came in at the high end of our revised revenue estimate. While we experienced COVID-19-related disruptions, such as shipment delays, temporary facility closures and supply chain and logistic challenges, we were able to manage through with only modest top line impact. As Bill mentioned earlier, we had strong performance in our scientific and industrial market, which made up 47% of our revenue. This was led by ion beam system shipments to our data storage customers. Front-end semiconductor market contributed 30% of our revenue resulting from EUV mask blank and laser annealing system shipments. LED lighting, display and compound semi was 15% of revenue. We sold additional slow-moving LED-related inventory and shipped multiple wet etch and clean systems to RF device customers for 5G-related power amplifiers. And the advanced packaging, MEMS and RF filter market made up 8% of our overall revenue, reflecting softness in advanced packaging system shipments. By region, the U.S. was 38% of revenue and was driven by sales to data storage customers. Rest of world, which includes Japan, Taiwan, Korea and Southeast Asia was 37% of overall revenue, driven by our EUV mask blank and LSA systems. EMEA was 15% of overall revenue and was also driven by sales to data storage customers. And finally, China was 10% of overall revenue, mainly from legacy MOCVD system and service revenue. Now turning to non-GAAP operating results. First quarter gross margin was 45%, which was favorable to our guidance and up almost five points from Q4. This improvement in margin was primarily a result of favorable product mix and reduced reserves, along with reduced manufacturing costs and service-related expenses, some of which were a result of COVID-19 related restrictions. We expect our gross margins to fluctuate on a quarter-to-quarter basis due to product mix and other factors, and we do not expect gross margins to remain as high as 45% for near-term quarters going forward. OpEx for the quarter was $34 million, which was also favorable to our guidance and sequentially better by almost $4 million. As we mentioned last quarter, we are ahead of schedule on our expense target reduction, and in addition, Q1 OpEx benefited from less travel and other variable expenses as a result of COVID-19-related restrictions. On a non-GAAP basis, tax expense for the quarter was $300,000, with net income coming in at $10.9 million. EPS was $0.22 on a diluted share count of 48 million shares. Now moving to the balance sheet and cash flow highlights. We ended the quarter with cash and short-term investments of $242 million, a use of $3 million during the quarter. We experienced a working capital increase in Q1, as accounts receivable increased to $84 million from a historically low level in Q4 2019, resulting in DSOs for the quarter of 73. This was principally due to the timing of when payments were due with some falling just outside of the quarter. Accounts payable increased to $36 million driving days of payables to 57, partially offsetting the increase in accounts receivable. Inventory declined $3 million to $130 million, resulting from progress selling slow-moving inventory during the quarter. Long-term debt on the balance sheet was recorded at $303 million, representing the carrying value of our $345 million in convertible notes, which mature in January 2023. In April, we closed on the sale of a noncore product line that was designated as held for sale, in our March balance sheet. The sales price was $11.4 million of which $9.7 million was paid at the closing with the balance to be paid in 18 months. And lastly, our capex during the quarter was $1.1 million. We are closely monitoring the coronavirus situation, and in efforts to provide transparency to our investors and analysts, we are providing a qualitative outlook, but will not provide Q2 guidance. We should caution that the conditions caused by the coronavirus could adversely affect our customers' ability to purchase our products, delay purchasing decisions or adversely impact our supply chain, manufacturing or logistic capability to deliver products, all of which could affect our future financial performance. That said, at this time, we are seeing a small number of system delivery dates push out of Q2 from COVID-19 impacts in China. But otherwise, the rollout of our backlog and timing of bookings appear to be on track. Gross margins have been trending positive over the last number of quarters as a result of transformational actions taken to improve profitability. But given the size of individual transactions and product mix, our gross margin will likely fluctuate from quarter-to-quarter. And as I mentioned, we do not expect gross margin to remain as high as 45% we achieved in Q1. From an OpEx perspective, we expect to incur lower spending related to travel and other variable costs due to COVID-19 related restrictions in the near term, but we continue to maintain our longer-term $36 million or less quarterly OpEx target at current revenue levels when business activity returns to normal. It's worth reiterating that although there is uncertainty related to the anticipated impact of the COVID-19 outbreak, we believe our business model, our current cash and short-term investments, and the recent steps we've taken to rationalize expenses leave us well positioned to manage our business through the crisis as it continues to unfold. Thanks, Bill, and good afternoon, everyone. Today, I will summarize our revenue by market and geography, cover our P&L, balance sheet and cash flow and then take you through our outlook. I will discuss non-GAAP financial data and would encourage you to refer to our reconciliation between GAAP and non-GAAP results, which you can find in our press release or at the end of the quarterly earnings presentation. Revenue for the quarter was $105 million, which came in at the high end of our revised revenue estimate. While we experienced COVID-19-related disruptions, such as shipment delays, temporary facility closures and supply chain and logistic challenges, we were able to manage through with only modest top line impact. As Bill mentioned earlier, we had strong performance in our scientific and industrial market, which made up 47% of our revenue. This was led by ion beam system shipments to our data storage customers. Front-end semiconductor market contributed 30% of our revenue resulting from EUV mask blank and laser annealing system shipments. LED lighting, display and compound semi was 15% of revenue. We sold additional slow-moving LED-related inventory and shipped multiple wet etch and clean systems to RF device customers for 5G-related power amplifiers. And the advanced packaging, MEMS and RF filter market made up 8% of our overall revenue, reflecting softness in advanced packaging system shipments. By region, the U.S. was 38% of revenue and was driven by sales to data storage customers. Rest of world, which includes Japan, Taiwan, Korea and Southeast Asia was 37% of overall revenue, driven by our EUV mask blank and LSA systems. EMEA was 15% of overall revenue and was also driven by sales to data storage customers. And finally, China was 10% of overall revenue, mainly from legacy MOCVD system and service revenue. Now turning to non-GAAP operating results. First quarter gross margin was 45%, which was favorable to our guidance and up almost five points from Q4. This improvement in margin was primarily a result of favorable product mix and reduced reserves, along with reduced manufacturing costs and service-related expenses, some of which were a result of COVID-19 related restrictions. We expect our gross margins to fluctuate on a quarter-to-quarter basis due to product mix and other factors, and we do not expect gross margins to remain as high as 45% for near-term quarters going forward. OpEx for the quarter was $34 million, which was also favorable to our guidance and sequentially better by almost $4 million. As we mentioned last quarter, we are ahead of schedule on our expense target reduction, and in addition, Q1 OpEx benefited from less travel and other variable expenses as a result of COVID-19-related restrictions. On a non-GAAP basis, tax expense for the quarter was $300,000, with net income coming in at $10.9 million. EPS was $0.22 on a diluted share count of 48 million shares. Now moving to the balance sheet and cash flow highlights. We ended the quarter with cash and short-term investments of $242 million, a use of $3 million during the quarter. We experienced a working capital increase in Q1, as accounts receivable increased to $84 million from a historically low level in Q4 2019, resulting in DSOs for the quarter of 73. This was principally due to the timing of when payments were due with some falling just outside of the quarter. Accounts payable increased to $36 million driving days of payables to 57, partially offsetting the increase in accounts receivable. Inventory declined $3 million to $130 million, resulting from progress selling slow-moving inventory during the quarter. Long-term debt on the balance sheet was recorded at $303 million, representing the carrying value of our $345 million in convertible notes, which mature in January 2023. In April, we closed on the sale of a noncore product line that was designated as held for sale, in our March balance sheet. The sales price was $11.4 million of which $9.7 million was paid at the closing with the balance to be paid in 18 months. And lastly, our capex during the quarter was $1.1 million. We are closely monitoring the coronavirus situation, and in efforts to provide transparency to our investors and analysts, we are providing a qualitative outlook, but will not provide Q2 guidance. We should caution that the conditions caused by the coronavirus could adversely affect our customers' ability to purchase our products, delay purchasing decisions or adversely impact our supply chain, manufacturing or logistic capability to deliver products, all of which could affect our future financial performance. That said, at this time, we are seeing a small number of system delivery dates push out of Q2 from COVID-19 impacts in China. But otherwise, the rollout of our backlog and timing of bookings appear to be on track. Gross margins have been trending positive over the last number of quarters as a result of transformational actions taken to improve profitability. But given the size of individual transactions and product mix, our gross margin will likely fluctuate from quarter-to-quarter. And as I mentioned, we do not expect gross margin to remain as high as 45% we achieved in Q1. From an OpEx perspective, we expect to incur lower spending related to travel and other variable costs due to COVID-19 related restrictions in the near term, but we continue to maintain our longer-term $36 million or less quarterly OpEx target at current revenue levels when business activity returns to normal. It's worth reiterating that although there is uncertainty related to the anticipated impact of the COVID-19 outbreak, we believe our business model, our current cash and short-term investments, and the recent steps we've taken to rationalize expenses leave us well positioned to manage our business through the crisis as it continues to unfold. And with that, Bill and I will be happy to take your questions. Operator, please open the line.
Operator: [Operator Instructions] We'll take our first question from Patrick Ho with Stifel. Please go ahead.
Patrick Ho: Bill, I understand the difficulties for providing guidance given the many different businesses and the many different markets you participated. So I'm just going to ask in one segment, just to kind of get your qualitative thoughts on the advanced packaging and there's probably some mixed data points out there. You're right, smartphone demand could be down, but there are opportunities that seem to be going on, notably in Taiwan where they're moving forward with their advanced packaging processes and capacity build. Can you just give qualitatively how you look at the marketplace, at least for the June quarter? And what are some of the swing variables that are out there?
William Miller: Thanks for the question, Patrick. I would say Q1 was a soft quarter for us in AP. It's actually I think it will come back here pretty quickly. I think that's more a matter of timing than anything else. And so I would expect those numbers to recover here, independent of COVID-19. I mean, we are seeing a lot of the megatrends for artificial intelligence, high-performance computing, 5G still intact and still driving long-term the AP market. As a matter of fact, we just recently won some business from IDM as well. So I think the market is still viable and still going in a general sense, our we just are putting together our eval tool for a new product with better resolution and depth of focus in larger field size for the specifically for the AP market. So I think long term, I think, our market share is holding. It's just that we are waiting for a smartphone recovery here to drive the business in a meaningfully positive way.
Patrick Ho: Great. That's helpful. And maybe, John, as my follow-up question, obviously, by your gross margin and your OpEx management, you've handled the COVID-19 situation really well. At the same time, just talking around the industry, there is a building of inventory that's probably going through the entire ecosystem from your customers to their customers, there's a level of inventory building. Can you again, maybe on a qualitative basis, talk about how you are making sure that you have the necessary parts the supply, the chain is still open, longer lead time stuff, particularly given that you have a lot of different markets and businesses.
John Kiernan: Sure. So we are working closely with our suppliers. We've seen some minor disruptions in supply chain to this point, Patrick, but nothing significant. We are monitoring the health of our suppliers. And right now, they are able and we are able they are able to meet their commitments to us, and we've been able to meet our commitment dates to our customers. And so far, we don't see any change in that pattern. Now of course, there could be things that happen in this environment in the future that we don't see today. But as we stand now, we're able to manage through any of the disruptions.
William Miller: Yes. I'd just add, our supply chain group has done a really good job. They're talking with our suppliers, almost every week talking to every supplier. We've resourced about 50 parts over the last few months due to the COVID-19. And we might be seeing some hits in terms of on-time delivery, but we're not seeing any by days or a week, but nothing yet that would really cause the whole machine to grind to a halt.
Operator: [Operator Instructions] We'll hear now from David Duley with Steelhead.
David Duley: Yes, thanks for taking my question. A couple of them. Sorry, I missed just a couple of moments of to call I don't think you gave revenue guidance for the June quarter. But as far as the number goes, but did you mention if you thought it would be up or down from the March quarter?
William Miller: We didn't do that. What we out of an abundance of caution, David, we decided not to provide guidance because we're really worried about the unknown unknowns out there. We could have a number of employees, our employees or our customers' employees test positive for the coronavirus, we may have to shut down a plant for a week or two, there could be further government orders requiring us to close a facility. So really just out of abundance of caution, we've not given guidance. When I look to I Q2 specifically, John mentioned in our prepared remarks, we did have a few tools push out of the quarter. And that specifically was with one Chinese LED customer who happens to be close to Wuhan. And the other area that we're experiencing some delays is really an acceptance of new products, which is really driven by travel restrictions that our engineers from our factories are unable to visit the customer sites. Overall, we are seeing our gross margin improving. As John said, our ion beam products were a higher than normal percentage of revenue in Q1. We wouldn't expect that to last going forward. But I would say that we are expecting to have our gross margins over 40% at these current revenue levels. OpEx is ahead of schedule. We said that sorry, go ahead.
David Duley: I was going to say, maybe let me ask the revenue question a different way. If there was no COVID going on right now, would you be guiding revenues up, down or flat?
William Miller: Yes. We really can't I can't really give you that color, David. I apologize for that.
David Duley: No worries. Okay.
William Miller: I did say though that...
David Duley: Go ahead.
William Miller: I just said, though, that we did have a few tools from one Chinese customer push out of the quarter. But I will say to you that currently, all our facilities are running at or near-normal capacity. We've had no supply chain disruptions. We're not seeing significantly reduced or changed customer demand. The quality of our funnel is strong. We had a strong order flow in April. Our cash collections in April are so far strong. And so I would assume we're moving along.
David Duley: Okay. And then maybe just elaborate a little bit more. You mentioned that your disc drive business was quite strong. I guess, you mentioned maybe just to elaborate as to why it's strong? And is it all cloud or is it enterprise? Or are there some other things going on? And then if it is the cloud, are they moving more toward using hard drives versus SSD drives as far as storage capabilities go?
William Miller: Yes. What we're seeing is all of our data storage customers are pretty bullish in adding capacity now. Our 2020 is mostly in backlog right now, and we are quoting for slots in 2021. And what we're seeing is their demand is really driven by the cloud, very large-format drives, 20-terabyte size drives. And they're also going through a technology transition now to energy-assisted magnetic recording. And so what this means is the heads are more complex. And so there are more passes through our tool, and there are more heads per drive, and there's an absolute value of heads is growing. So right now, we're seeing added tailwinds due to the customers needing more capacity and tailwinds due to the complexity of the heads driving more equipment.
Operator: [Operator Instructions] With no further questions in the queue, we'll hand the conference back over to Mr. Bill Miller for additional or closing remarks.
William Miller: Thank you, operator, and thank you all for joining us on today's call. I appreciate the thoughtful questions in these truly unprecedented times. Going forward, we will continue to keep our employees safe as we continue to focus on our customers. I look forward to updating you at our next conference call. Have a great evening.
Operator: Thank you. And that does conclude today’s conference. Thank you all for your participation. You may now disconnect.